Operator: Good morning, and welcome to THL Credit earnings conference call for its first fiscal quarter of 2013. It is my pleasure to turn the call over to Ms. Stephanie Sullivan, General Counsel and Chief Compliance Officer of THL Credit. Ms. Sullivan, you may begin.
Stephanie Pare Sullivan: Thank you, operator. Good morning, and thank you for joining us. With me today are: Jim Hunt, our Chief Executive Officer; Terry Olson, our Chief Operating Officer and Chief Financial Officer; and Hunter Stropp, our Co-President. Before we begin, please note that statements made on this call may constitute forward-looking statements within the meaning of the Securities Act of 1933 as amended. Such statements reflect various assumptions by THL Credit concerning anticipated results, are not guarantees of future performance and are subject to known and unknown uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are, in some ways, beyond management's control, including the factors described from time-to-time in our filings with the Securities and Exchange Commission. Although we believe that the assumptions on which any forward-looking statements are based are reasonable, any of those assumptions could prove to be inaccurate. And as a result, the forward-looking statements based on those assumptions could also be incorrect. You should not place undue reliance on these forward-looking statements. THL Credit undertakes no duty to update any forward-looking statements made herein. All forward-looking statements speak only as of the date of this call. A webcast replay of this call will be available until May 14, 2013, starting approximately 2 hours after we conclude this morning. To access the replay, please visit our website at www.thlcredit.com. With that, I'll turn the call over to Jim.
James K. Hunt: Thank you, Stephanie. Good morning. Thank you for joining this morning's call covering the results of THL Credit's first quarter of 2013. Our earnings announcement and 10-Q were released yesterday afternoon, copies of which can be found on our website, along with a Q1 investor presentation that we will refer to during this call. This morning, we will provide an overview of THL Credit's investment activities and financial highlights for the first fiscal quarter of 2013. I will also offer our views on the current investment environment and how we will continue to grow our portfolio. We are pleased to have Hunter Stropp, THL Credit's Co-President, with us this morning. Hunter will offer views on the direct lending environment and how we are positioning ourselves to take advantage of new investment opportunities. We completed the first quarter with 40 portfolio companies valued at $431 million after investing $58 million during the quarter in 5 new transactions and 1 existing portfolio company. These new investments were offset by $26 million of sales and repayments, including the initially anticipated sale of $18 million of our position in Gold, Inc. to both Greenway II, which I will discuss more about in a moment, and outside investors. Despite an increasingly competitive direct lending environment, we were pleased with another quarter of growth in our portfolio. Outside of scheduled amortization payments, the partial sale of Gold and a partial paydown at par on Yellow Pages, we did not have any full realizations of investments during the quarter, compared with $80 million in prepayments in the fourth quarter of 2012. This underscores the variability in prepayments in our portfolio. A bit of a double-edged sword here. From an earnings perspective, while the earnings impact from prepayment fees are certainly a plus, the benefits of keeping our balance sheet full with strong credit remains a key to earning income to pay and cover our -- cover and pay our dividend. We were also pleased to announce the $50 million extension of our credit facility this quarter from $190 million to $240 million. We value the strong relationships with our existing lenders and appreciate their continued support. We are also pleased to welcome 2 new lenders to our lender group. The increase and extension of our facility expands our investment capacity, optimizes our current cost of capital and extends the maturity of our liabilities. As of March 31, we had $150 million of cash and capacity on our revolver to fund near-term growth of our portfolio. Pages 11 and 12 in our Q1 investor presentation highlight our growth to date. While our pipeline remains strong and we continue to deploy capital towards attractive investment opportunities, our net growth from quarter-to-quarter can fluctuate, as you can see on Page 13. As previously mentioned in our last call, we had our first close for Greenway II in February. Greenway II has participated in 4 investments to date. As Greenway II's investment manager, THL Credit, Inc. is entitled to certain fees, which commenced during Q1. From an earnings perspective, this is accretive to our shareholders. Net assets as of March 31 were $347 million or $13.20 per share, unchanged from December 31. Increases to NAV from the unrealized appreciation on our portfolio during the quarter were offset by the impact of the dividend relative to earnings during the quarter. Our net investment income for the first quarter totaled $7.4 million or $0.28 per share. Terry will talk shortly about some of the drivers impacting earnings relative to our Q1 and Q2 dividends, but most of it is due to the timing of investment and realization transactions that are inevitable in our business. We are pleased to announce that on May 2, our Board of Directors approved a quarterly dividend of $0.34 per share for the second quarter 2013 that is payable on June 28. This represents a $0.01 per share increase over the prior quarter and is reflective of continued growth in the portfolio. Overall, the credit quality of our portfolio remained strong. The performance of most of our companies continues to meet or exceed our expectations. As of March 31, no investments were on nonaccrual status. We continue to closely monitor those investments not meeting our expectations. Our portfolio of companies in which we have debt investments currently have a weighted average EBITDA of approximately $23 million, excluding 1 portfolio company with a higher EBITDA level not representative of a typical THL Credit portfolio company. Our weighted average leverage attachment point in the capital structure is approximately 3.9x EBITDA. We continue to see actionable investments in our pipeline, especially unsponsored transactions, which Hunter will discuss in more detail in a moment. We continue to leverage our relationship with our network of sponsors and with THL Credit Senior Loan Strategies, a subsidiary of our manager. The investment professionals at THL Credit SLS continue to support our investing and underwriting activities in select cases. In particular, their credit perspectives on the 2 investments in CLO equity this quarter were an important part of the credit selection process. With that, I'll turn the call over to Terry to talk more about the investment activity in greater detail and our financial performance.
Terrence W. Olson: Thanks, Jim, and good morning, everyone. I wanted to start by describing our 5 new investment transactions this quarter and provide you with a little color on each. As a reminder, we utilize an independent third party to provide positive assurance on all -- on fair value as part of our quarterly valuation process for all of our investments each quarter. First, in February, we made a $12 million investment in the senior secured term loan of Emabarcadero Technologies, a provider of database management solutions for companies and independent software developers. The company is based and headquartered in San Francisco. We also made a $20.4 million investment in the subordinated term loan of Tri-Starr Management Services in March. Tri-Starr is a distribution technology integrated third-party logistics provider and is headquartered in Portsmouth, New Hampshire. Thirdly, we made an $8.1 million investment in the second lien term loan of Connecture in March. Connecture is a provider of Web-based health insurance marketplace systems and administrative technologies for insurance companies. The company is headquartered in Brookfield, Wisconsin. Finally in March, we invest an aggregate of $16.9 million in the subordinated notes of 2 collateralized loan obligations each managed by GSO. Jim spoke earlier about the realization activity for the quarter, but I wanted to point out as you may have seen in our press release, we realized $19.3 million in proceeds from the exit of our subordinated debt investment in Surgery Partners in April, including a prepayment premium along with $1.2 million of dividend proceeds from our equity investment. The impact of this dividend, the prepayment premium and the acceleration of unamortized discount on this investment, which you can see from looking at our schedule of investments in the 10-Q, is an aggregate approximately $0.08 of earnings per share. We were optimistic at one point this would close during the first quarter. However, it did not occur until April, and therefore, the impact was not reflected in our first quarter results. Subsequently, we were pleased to make a $15 million second lien investment in Surgery Partners later in April, a credit we've known since 2009. The weighted average yield on all of our investments in the -- made in Q1 was 13.3 -- 13.4% with effective yields ranging from 10.5% on the first lien loan to Emabarcadero to 15% on the subordinated loan to Tri-Starr. The weighted average yield on all of our income-producing investments in the portfolio as of March 31 was 13.7%. At the end of the quarter, the portfolio at fair value was invested 26% first lien debt, including unitranche structures; 18% in second lien debt; 43%, subordinated loans; 11% in income-producing investments, which include CLO subordinated notes or equity; and 2% in equity securities. Our debt investments based on funded loans were invested 55% in fixed-rate loans and 45% invested in floating rate loans. Additional details on the portfolio's composition, credit profile and yields are highlighted on Pages 14 through 18 in our investor presentation. From our portfolio, we derived $14.4 million in investment income in the first quarter, of which $13.9 million was from interest income. Other income of approximately $500,000 included fee income from our managed funds Greenway I and Greenway II. We received no prepayment premiums and accelerated only a nominal amount of unamortized discounts during the quarter, a rather significant change from the Q3 and Q4 2012 activity, when we recorded $1.2 million and $1 million respectively of prepayment premiums, which were included in interest income. During the quarter, we incurred $7 million of expenses, including $1.5 million in base management fees, $2.3 million of incentive fees, $1.6 million in general and administrative expenses and professional fees and $1.6 million in fees and expenses related to our credit facility. I'd like to point out that the incentive fees include the effect of $368,000 weighted unrealized appreciation on the portfolio recognized for GAAP purposes or slightly over $0.01 per share. Additionally, expenses related to our credit facility this quarter included approximately $240,000 or $0.01 a share of one-time accelerated amortization for deferred financing cost recognized at the time of the amendment to our credit facility due to a departing lender. Net investment income for the quarter was $7.4 million or $0.28, compared with -- per share, compared with a dividend paid in March of $0.33 per share. These earnings for the quarter were below our expectations at the time we set the dividend. To summarize notable drivers: first, there were no prepayment premiums or notable accelerated amortization during the quarter; secondly, most of our new investments closed later in the quarter; and finally, there was an approximately $0.02 per share impact on the incentive fees on unrealized depreciation and the one-time adjustment to deferred financing cost I previously mentioned. This shortfall was more than offset by the approximately $0.08 per share impact of the Surgery realization recognized in April that will be reported for the quarter ended June 30. For our interest rate derivative, we realized a net loss of $104,000 in connection -- as a result of the amounts paid under our interest rate swap and had positive change in the unrealized depreciation of $142,000, which is the result of swap rate changes. The net change in unrealized depreciation of $1.7 million during the quarter was impacted by changes in portfolio company valuations, which were due to changes in capital market conditions, including the tightening spreads and the performance of certain specific investments. We also recognized $529,000 provision for taxes related to unrealized appreciation on 2 investments held in tax blockers. A deferred tax liability related to this provision is reflected on our balance sheet. And with that, I'll turn the call back over to Jim.
James K. Hunt: Thanks, Terry. With the competitive market for direct lending, we ask Hunter Stropp, whom the majority of you know, who serves as our Co-President, head of our Los Angeles office and manages the transaction allocation within our investment teams to address the current market. Hunter, are you there?
Terrence W. Olson: Technical difficulty. Bear with us a second, folks. We're having one thing -- we might have lost Hunter on the other end of the line.
James K. Hunt: So for those of you who know that we have the 4 offices to do our direct lending, Hunter is in our L.A. office and perhaps has been cut off. What Hunter was going to talk about is the current environment direct lending in the middle market. In our PE sponsor business, we're seeing an incrementally more competitive lending environment versus the year ago. Pricing has tightened slightly and leverage multiples have expanded marginally, as more capital has entered the space. Unitranche structures continue to gain market share, and it's important for junior capital lenders to have a strong partnership with banks in order to participate in this growing portion of the market. Despite an uptick in competition, our unrelenting focus on proprietary origination and the strength of our relationships in the sponsor community continue to generate substantial investment opportunities that hit squarely inside of our investment parameters. Our unsponsored business has become more active as entrepreneurial-owned businesses, family-owned businesses and small private companies seek to take advantage of an active refinancing market to both raise growth capital and to improve their balance sheet. In 2013, we have seen unsponsored opportunities materially increase as a percentage in our pipeline. Due to less competition in this space, we can often find attractively priced securities at reasonable attachment points in the unsponsored universe. Examples of recent unsponsored investments that we have made include Gold, Inc., closed at the very end of Q4 2012, and Tri-Starr, closed this quarter. And we are actively pursuing several unsponsored opportunities at the moment. I'd like to close our formal remarks with a quick summary. We are pleased with the nearly $40 million in net growth in the portfolio this quarter and continued strong credit quality. We have ample liquidity under our increased credit facility to equip an active pipeline, driven by our origination-centric platform. And we are pleased to announce an increased dividend in the second quarter on the strength of our expected growth and increased use of leverage in Q2. I would like to now open the line for questions, operator.
Wendell Hunter Stropp: Yes. This is Hunter. I was able to get back in. I'm not sure why I was cut off. But I appreciate you covering my section there.
James K. Hunt: All right. You wrote it well. All right, operator?
Operator: [Operator Instructions] Our first question is from Jonathan Bock from Wells Fargo Securities.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: Jim, first starting off with a pretty easy industry question. As it relates to second lien focus in a time when credit markets are, let's say, a bit frothy -- and I know there was a little bit of a subordinate, maybe taint to originations this quarter. And we know you focus primarily on inefficient areas within the middle markets. And actually this might be even better for Hunter. Walk us through the risk-reward dynamic, taking a subordinated position at a point when people would maybe look at subordinate debt with a little bit more risk in today's environment.
James K. Hunt: Maybe I'll start off. And in the course -- the way the market is working today, it is very typical for an intermediary on behalf of an unsponsored company, a referral source or a private equity firm to say, "Address the need on the right-hand side of my balance sheet." And often times -- and we have a very strongly held view what is the appropriate attachment point, whether we're unitranche, second lien or mezzanine on every single company. There are some industries where we have a strong preference to be either second lien or unitranche and not mezzanine in a particular balance sheet. So I would say, Jon, we don't change the risk-adjusted view and continue to stick to what is the right way to attach the specific company's balance sheet. And we wouldn't -- the second lien or mezzanine that we would consummate now would have the same attachment point in fundamentally any environment. It's just whether or not the company had a strong enough existing bank relationship, all the considerations that go into constituting a balance sheet, particularly in today's environment. So again we have a crisp risk-adjusted return answer, 3 different principal ways we express our lending and the chips fall where they may based on the industry, existing bank relationships. And it's not taking, in our view, a higher risk-adjusted or diminishing the return for the risk.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: All right. Appreciate that. Just a small data follow-up to that. I know, Terry, you mentioned that the weighted average leverage, I believe this was from your attachment, of roughly 3.9x. What was that last quarter?
Terrence W. Olson: 3.8, Jon.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: Okay, great. And now one question that relates to the equity account. Obviously, you have quite a bit of debt capital to deploy. That's excellent. Walk us through, Jim and Terry, how you're looking at funding. We all understand this is a rather lumpy business. But debt-to-equity at 0.15, investors always appreciate leverage before someone chooses to come to the capital markets. Can you walk us through what you're thinking in terms of funding for, let's say, the next 2 to 3 quarters?
Terrence W. Olson: Sure. Just to clarify, we're at 0.26x now at the end of Q1 with the additional term debt we took on. As we said in the past, I think we would like to try to take the leverage levels up to probably in our view, Jim, 0.5x, 0.6x as a reasonable leverage to afford ourselves: one, increasing ROE per shareholders; and two, leaving us a bit of capacity should there be some type of freeze-up in the equity market. So any future equity deployment, as we've always said, will be driven by: one, the amount of leverage on our balance sheet to provide an appropriate use of proceeds; and the pipeline, two, again to relever the balance sheet after that paydown has occurred; and three, making sure the price is right with respect to the shareholders. We're certainly not going to consider anything that would be dilutive to a shareholder. So that's -- that said in our current pacing, it's not unreasonable to expect that an equity raise over the course of the next couple of quarters would fit relative to the growth of the business.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: Okay. That makes sense. And then last question, just turning to portfolio investments real quickly. So we saw a new investment maybe show up. And it was the I'd say, the speed at which the warrant value went from a par to 0, as well as a small writedown in the loan, which is a senior sub note on C&K Market, at least generates, I'd say, a few additional questions. Can you walk us through maybe that investment and maybe the industry dynamics there and what's leading to just kind of the writedown on the equity, as well as a small writedown on the debt?
James K. Hunt: Jon, we don't comment on specific investments for a whole host of reasons. And obviously, we care tremendously about the valuation. And we continue to use Lincoln International for a valuation on all investments each quarter. But it would be inappropriate to comment on the specifics of any one investment.
Operator: Our next question is from Stephen Laws from Deutsche Bank.
Stephen Laws - Deutsche Bank AG, Research Division: Two questions. I guess, first, I want to make sure I get the -- have down the ton of moving parts of impacts that we'll see sequentially in the second quarter. I know you talked about one, I guess, realization of payoff, where just [indiscernible] to Q2, you expected -- I believe you said $0.08 of income. And did you say there were $0.02 of associated incentive fees? And were those reported in the first quarter? Or did I misunderstand that?
Terrence W. Olson: Sure. Stephen, this is Terry. Just to clarify we did have the payoff for the Surgery subordinated debt, and we actually reinvested most of those proceeds. In connection with the payoff of the debt, we've also got a dividend payment on our equity holdings of about $1.2 million. So if you couple that $1.2 million with the prepayment premium and the acceleration of unamortized discount on that Surgery debt, you're looking at about $0.08 of earnings just relative to that transaction typically that will hit in Q2. The second point you were getting at was we had about $0.015 impact in the incentive fee that we had to book related to appreciation of the portfolio in Q1 that impacted Q1 results. So that's the $0.015, if you will, relative to the incentive fees. It was a little more of an impact due to the deferred financing cost adjustment, but that was the biggest component. Hopefully, that's helpful.
Stephen Laws - Deutsche Bank AG, Research Division: Yes, great. That is. And I guess, following up on that, have you seen quarter-to-date? Or do you expect any additional prepayments? And then obviously, on the flip side, maybe -- I know you had the $1 million investment you talked about, kind of what the pipeline looks like. And I guess, basically a long-winded way to ask what kind of net portfolio growth expectations you have for the second quarter?
James K. Hunt: Hunter is the manager of the pipeline. So I think, it'd be great, Hunter, just to provide general characteristics of the pipeline today.
Wendell Hunter Stropp: Yes, sure. So speaking -- the pipeline is strong. It's -- a couple of comments from the section I was going to read that Jim read, were a direct reflection of what we're seeing right now and what we expect to close. And what I mean by that is sponsored activity is consistent but not gangbusters right now and a bit competitive. But we do have our go-to sponsors that a number of them actively working on trying to win or close transactions. So we feel good about that piece of the business. And the unsponsored piece of the business is as strong as it's ever been, I think, at THL Credit just because so many of these companies, the unsponsored, the family-owned businesses, the entrepreneur-owned businesses sat things out there for some time. They don't come back to the markets nearly as quickly as the private equity backed ones do because they don't have the private equity guys pushing them. So they get to the market later. And so we're seeing a delayed wave of unsponsored opportunities right now. And that's really what we're very excited about at the moment. And we're hoping to put a number of those on the books here in the near future. You never know. But certainly the pipeline looks solid on that side.
Terrence W. Olson: And Stephen, this is Terry. I'll just add a little more color to that. If you kind of look at the last 4 quarters of new originations, albeit the Q4 is probably a bit outsized, but we're looking anywhere from 60 to 70 of new originations. We'd like to think our capacity can certainly continue to do that. And we're fortunate on most -- just about all of our investments to have call protections that we hope will continue to limit the prepayment downside. So as I think about portfolio net growth on a quarter-to-quarter basis, again we can be lumpy. But I'd say anywhere from $30 million to $50 million of net growth is not an unreasonable assumption and consistent with what we've seen recently.
Stephen Laws - Deutsche Bank AG, Research Division: Great. And then one final question, if I may. I appreciate the color on that. And probably for Hunter here, on the sponsored versus unsponsored, can you maybe talk about the different market -- the different environment and terms you're seeing? Is there a material difference in the yield on investments? Is the leverage levels embedded in the investment's cash flow multiples? Can you maybe talk about the different terms you're seeing across the sponsored versus unsponsored opportunities?
Wendell Hunter Stropp: Yes. You bet. So yes, we -- there -- it's actually a longer list than you might expect. So I'll maybe highlight the top 3 or 4, at least for me that I think are the primary differences. And the first 2 are fairly easy, and you mentioned them. It's certainly not always true. It always does come down to the company. But most of the time, we're going to get better or the same yields and returns at better or the same leverage attachment point. So we find that due to less capital chasing those opportunities, the increased work you have to do to really drive primary diligence and do all of the structuring, if there is no private equity sponsor in there, the increased capabilities you have to have and the time it takes, it's just a lot less competitive. So because of that, we do typically see more attractive yields, not always, but often at more attractive attachment points. And then the next 2 that I'm going to mention are extremely important as well, less numerical, but of equal importance. And that is our ability to directly underwrite is sometimes much better in an unsponsored opportunity because we -- our -- the access directly to management is clear and direct and consistent, not filtered by a private equity sponsor or sometimes more than 1 private equity sponsor, investment bankers or more than 1 investment banker. So we tend to have the lines of communication opened up a lot clearer, and that just allows for a much cleaner, crisper and more efficient due diligence. So we really know what we're getting into or we really know if we don't want to get into it. And then there is a fourth thing I'll mention, this is very important in the unsponsored universe, and that's monitoring. By the time we're done, we have a direct link into that business. We are oftentimes the primary institutional capital in that balance sheet, debt or equity. We will always have an observer board and sometimes have an actual board seat. And so it just gives us, from a portfolio management standpoint, the ability to really stay on the top of the company, be more involved in the company than you might be with some sponsored transactions. So we always know what's going on there, and we can help drive change.
Operator: Our next question is from Troy Ward from KBW.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Jim, can you provide us just -- I know you don't give a ton of disclosure on Greenway I. But can you provide us on Greenway II just kind of generically, can we expect kind of the same economic assumptions in our models from Greenway II as we did Greenway I?
James K. Hunt: I would say very comparable terms.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And I know Greenway I, you talked about it being 1 institutional investor for $150 million. And clearly with the comments that you provided today and in the past, Greenway II is -- it sounds like it's multiple different investors. Can you tell us the size of that? Or will it be a defined size?
James K. Hunt: And I'm hesitating, Troy. Good questions. But we don't want to cross over any securities laws discussions relative to the -- we have not had the final close. So I think it's -- all will be revealed in the next quarter.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, fair enough. Okay. Jim, you also mentioned the fact how your senior team out of Chicago really you were able to tap them for some knowledge when you were looking at the CLO investments. Can you provide just a little color on maybe as important as did they steer you away from any particular areas within the CLO structure? Are you looking at primary, secondary? Just give us some color on what you see and how you're viewing the CLO opportunity today.
James K. Hunt: Well, it -- first and foremost, it does fit in the investments we made with their skill set. We have 4 very skilled senior individuals running that group. You've met them. And their marching orders were if it's cheap with a compelling risk-adjusted return within a reasonably finite amount of these investments across the portfolio, those are the ones we've pursued. In the real -- so not only are they unusually able to assist us in knowing the manager, the manager's track record, the analysis of how good that manager is in managing a structure, but additionally, they maintain a significant number of the names in the market on their -- if they don't already own them in separate vehicles themselves, they watch those names very closely. So their ability to underwrite the portfolio at its inception is a very high degree of overlap. So at this juncture, I would say we're probably close to the amount we think is appropriate at our current size. But they continue to look for what they regard as very good value, which is a combination of manager analysis, understanding the assets in those vehicles and any increased opportunity from timing and being 1 click more sophisticated to buyer, which is attractive to other issuers.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And then Terry, can you talk a little bit about kind of how much room you have in that 30%, that bucket? I assume all the CLO goes in there and I assume the Duff & Phelps tax asset goes in there. What is your current size of the 30% nonqualified bucket as compared to the portfolio?
Terrence W. Olson: We've used about half of it up, Troy.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. Great. And then one last question, Jim. As you think about Surgery Center and that opportunity, obviously it's going to add meaningfully to the second quarter. But you chose to go back into that obviously with a $15 million sub. That was a dividend recap, if I don't recall, out of H.I.G. Can you just speak to how you view a dividend recap and when and why you choose to get involved with the equity sponsors, taking capital off the table?
James K. Hunt: I think that's a very good question, and we really -- there are a couple of factors that work. When we get to know a credit and a management team over time, and this is an investment we've been involved with since -- yes, since our -- prior to going public. So this was 1 of the 5 investments that was in our portfolio when we went public 3 years ago right now. It's a company that we've known well. We've known the management well. And as it's grown -- and we also provided capital in the transaction that was just refinanced to acquire a substantially larger business in the Midwest. And that was an opportunity to see the company's growth and success and expansion systems. So when we look at a recap, and that would be recapitalizations are a meaningful component of what we do. But it's really reflecting on the credit as its current condition and its prospects. So the leverage -- we look at the credit fresh and probably put a little less historical view of having a negative bias against a recap and an approach towards how much leverage makes sense for that company and its cash flows in condition today. And one -- we care a lot about -- just as you reference check BDC management teams, this is now the people component in a recapitalization of an existing company. We know them quite well. And that takes a lot of question marks off the table.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: And that brings one follow-up for you, Jim. As you know, we looked at an analysis just recently of kind of the amount of cross-fertilization from one BDC portfolio to another, and we saw a significant amount of names that show up in one BDC and will show up in another. How do you view club deals with regard to due diligence? Is there any difference in your due diligence process? And what percentage of the club deals that you participate in do you still meet the borrower or the management team running the company, whether it's Emabarcadero or Connecture [ph] or whoever face-to-face? What percent of the deals do you see the management team face-to-face?
James K. Hunt: I'm going to let Hunter fill in. He'll probably start with 100%.
Wendell Hunter Stropp: I will start with 100%. It's a good question. If it's not 100%, it would be an exception of maybe 1% so somewhere. But those club deals, they're definitely -- they're very important and active part of the market right now. There's a lot more of it going on than there was a few years ago. We certainly get calls about opportunities to club. And when we think it makes sense and we think we like the business and we think we can do our diligence and we think that the guys that we would be investing with make sense, then we'll go with those. In a lot of instances we can't check all of those boxes, so we don't participate. But we do -- I would be shocked, and I can't think of one, an instance where we weren't able to meet with management and sit down with management and at least get some time to go through our key questions about the business directly with them.
Operator: Our next question is from Chris York from JMP Securities.
Christopher York - JMP Securities LLC, Research Division: I've heard anecdotally that investment hold sizes had increased in the middle market during Q1. With assistance of Greenway II, has that fund helped THL increase the potential investment size, given that you have structuring flexibility with the borrower? And has your structuring view changed from the implementation of Greenway I versus Greenway II?
James K. Hunt: You hit on the most important aspect of Greenway I and now II. It's been a very shareholder-friendly way to build diversity in the portfolio and have a larger bite size. And if you think about the average EBITDA in our portfolio being $23 million, that -- we're very comfortable with that size company. And if you project that to what borrowing levels are typically needed by a company of that size, Greenway II is definitely important. And back maybe just to add a little bit to what was asked earlier, partner relationships from like-minded lenders are very valuable. It is a -- but we want -- just like we care a lot about who the senior debt is in a transaction where we're second lien or junior capital, we care a lot about who the other lender is in the structure. And there are -- and we're always looking to add to those relationships. And that is another way to maintain diversity in a portfolio. So they're both important and we regularly do both, but it's -- our style of lending is wanting to have a seat at the table and the lenders with whom we partner, we've got a lot of confidence in their being not only appropriate at the inception but projecting that they'll -- in the event of any adversity, they'll be constructive at the table.
Christopher York - JMP Securities LLC, Research Division: Okay. That's great. Also I wanted to touch on a couple of topics that you had already previously discussed. Your EBITDA attachment point creeped up slightly Q-over-Q. What kind of leverage multiples did you underwrite on new credits? And has anything changed in the second quarter in reviewing potential new investments?
James K. Hunt: Well, the -- I would say that we've held a pretty steady line throughout our life, preceding going public 3 years ago and since. And I would say our view of the level of risk we're willing to take probably has remained unchanged. Certainly, we're in a hyper selected portfolio, so it's a small percentage of the transactional opportunities that we see in which we invest. And as the economy has slowly improved, the ability to allow a little bit more leverage has increased but not I would characterize as not materially so.
Christopher York - JMP Securities LLC, Research Division: Okay. And then lastly on your pipeline, how is the mix of sponsored versus nonsponsored investments within your Chalkboard platform? Or what is that mix?
James K. Hunt: Yes. Hunter, I think it's fine for you to say where it is as of -- I have it in front of me if you don't.
Wendell Hunter Stropp: I will have it in front of me in about 10 seconds.
James K. Hunt: It's 37% unsponsored today. And what I would say on the -- it is important to note that the unsponsored percentage has a lower actionability factor. And we do rate actionability as we consider investments, better credit metrics, as Hunter mentioned, maybe better returns. And hopefully, the skill set that it takes to consummate unsponsored transaction makes us a better capital partner to sponsor transactions because we understand what the PE firm is doing because we know how to do it ourselves.
Wendell Hunter Stropp: And that number is close to what I had, Jim. I'll do one more slide cut versus chalkboard that focused a bit more on the more actionable -- the most actionable opportunities. And year-to-date, that's been 41% unsponsored, so very close.
Christopher York - JMP Securities LLC, Research Division: Okay. So from what I have, that's roughly flat to down from Q4. Does that seem correct?
James K. Hunt: It's probably close. And this again has grown. It's roughly double where it might have been this time last year.
Christopher York - JMP Securities LLC, Research Division: Okay. On an absolute basis, correct?
James K. Hunt: That percentage, correct.
Operator: [Operator Instructions] Our next question is from Jonathan Bock from Wells Fargo Securities.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: Yes. Just a quick follow-up on Stephen Laws' kind of question on repayments. And this a bit more of, I guess, let's say, philosophical in trying to understand the rewards that come with prepayment. And Terry, you outlined that with Surgery Centers, and that was great but also the NIM compression or the spread risks that remained. And as I -- looking through the portfolio, whether it's sub debt or a senior product, I mean, I'm looking at a few loans with greater than a year's seasoning that have some weighted average interest coupons at, say, in excess of 14-plus percent might not be the going rate today. So obviously those -- you've invested in good companies, they have the ability to refinance. Walk us through beyond the coupon -- beyond the fact that there is some prepayment protection that eventually fades, how you're looking at refinance risk and maybe I'd say kind of preparing to mitigate the risks that come back from you receiving your money back?
Terrence W. Olson: Yes. I think there's certainly some risk there. But refinancing is quite frankly is an opportunity for us in many respects, Jon, to a degree. Given our -- knowing the borrower, them knowing us and our increasing club sponsor relationships [ph] . So while clearly there's some outliers and clearly some prepayment protection, it doesn't protect you everywhere. And I think what's as important as anything is continuing to be able to fill that pipeline with yields that are reflective of what the portfolio already has. And I think we've continued to do that on a risk-adjusted basis with investments you've seen from secured first liens at 10.5%, 11% to a Tri-Starr in the 15% range. So long as we're continuing to do that, we can accept -- the run-off risk of refinancings is what it is and we should be able to manage our way through it.
Wendell Hunter Stropp: And then we do in other instances, if we have an attractive asset and we know that it's starting to bump up against a refinancing risk and it's one we would like to stay in, it's not out of the question, trying to get a jump on that early, find out what the company might want to do, see if we can structure something that might avoid them doing a broader process. And/or also if they need accommodations or impairments or whatever from us, that's a place we can focus on is what can we do to extend or increase that prepayment schedule to ensure that the credit's out there longer. So there are steps we can take that they don't always work, but there are steps that we will take for the credits that we do want to defend.
Jonathan Bock - Wells Fargo Securities, LLC, Research Division: Okay. That's very helpful. And just one data point in the financials, I was just curious. I saw that Express Courier early in December was put on a security and that you're expecting to collect that cash as of April 1. Would there be any -- are you expecting to receive that cash starting April 1? Is that clear, because it was outlined in the 10-Q?
Terrence W. Olson: Yes. We received the cash payments for April.
Operator: We have a follow-up from Troy Ward from KBW.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: Just to follow up a little bit on what Jon was talking about on the refi side. Hunter, I know something we hear a lot about in the industry in the more senior and syndicated loans is the drive-by refi, where basically it sounds like companies are just calling their lenders and almost to an extent, demanding a lower rate because they know they can go somewhere else and get it. Can you speak to -- is the drive-by refi, is that something you see in the middle market? Or is there some insulation from that?
Wendell Hunter Stropp: That's a great question. It is real. It's nowhere near as prevalent in the middle market as it is in the bigger market, where I think it's happening right now probably in the majority of instances, I think, you're seeing drive-by refis. We do see it pop up in the middle market from time-to-time. But we do -- I need to knock on wood. We don't see it that often. We've had -- particularly in our portfolio, we have had very few instances, where somebody showed up on our door and then said, "Hey, you have 30 days to drop 200 basis points off of this rate or else we're taking -- we're going somewhere else." We haven't seen that and had to react to anything in that way. Now as what we have seen, and I think any middle-market lender right now that isn't studying their credits very hard to know the ones that they can make accommodations on in order to keep is not properly managing their portfolio because you are not being realistic if you think that you're not going to have some of your portfolio companies come and ask for concessions to terms because it's going to happen. That is this market where we live. So I do think you need to be proactive, expect that it will happen on your better credit and be ready to go. Yes, we want to keep this and yes, this is what we can do to accommodate and still make this a terrific credit for us and keep it. And if that doesn't work, we're going to let it go. So I do think that we are doing that. So to have a plan for your credits when you do get the call about the refi, what you can do to make them happy to keep the credit and still feel really good about it from your standpoint. So for us, we haven't started to recap. It is out there, I know it's out there. We've gotten some calls about credits that aren't ours. I don't think we've really had it happen in our portfolio yet, but I fully expect that we will because what we're trying to do is just be as prepared as we can to make the -- to offer something back quickly and hopefully not turn that into a broader process. And if they say, "Listen, that's not nearly enough, we need you to do more," then we'll let it go.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: That's a really good color. And then one last one. I think in the journal today, there was an article on the activity in junk bonds and some talk about the history of it and pretty interesting stuff. But one of the things we saw again is covenant-lite. Can you just speak to, Hunter, what you're seeing from a structure standpoint in the middle market? How much weaker is the structures you're seeing today versus maybe a year ago?
Wendell Hunter Stropp: Yes. Another great question. If you would have asked me this 2 months ago, I was staying up late at night worried about covenant-lites moving into the middle market because we had gotten, for whatever reason, several calls on -- the genuine middle-market credits, they were asking for covenant-lite. And I didn't think -- I wasn't sure we'd ever see that again. It seems like it was a little isolated. The things we're working on now all have covenants. They're pretty standard covenants. So there is a movement -- I don't know how to characterize it quite right yet because I don't have enough data points. But there is definitely some creeping of covenant-lites back into the middle market. The good news is those of us really active in the middle market seemed to be holding the line. We certainly are -- we've said no to those opportunities because of that. I know a number of other of our colleagues in the BDC space and in the non-BDC space have said no for those same reasons. Some of them, we've been asked to look at maybe they're not covenant-lite but they're covenant-ridiculous. Maybe the covenant's there, but the numbers are -- don't make any sense. So we've had some of those that we passed on as well. And so the good -- the bad news is that it does seem to be creeping in. I'm not sure if it's picking up steam or dying off, but it's not a big piece yet.
Troy L. Ward - Keefe, Bruyette, & Woods, Inc., Research Division: But did those deals get done, those covenant-lite and covenant-ridiculous?
Wendell Hunter Stropp: One of the covenant-lites did get done about 2 months ago. The cov-ridiculous one that is in the market right now is pending. I'm going to be angry if it gets done. It's still out there. We have said no. I think it's going be -- I hope it's going to be really tough, given what they're asking for. And I'm hoping maybe they'll realize they'd come back to the market with a package that makes sense. But that one is still hanging out there. But that's the encouraging bit is our industry seems to be holding the line. We may beat each other up sometimes on the leverage and pricing, but we do seem to be holding the line for the most part on this covenant thing.
Operator: We have no more questions in queue. I would now like to turn the call over to Jim Hunt for closing remarks.
James K. Hunt: All right. Well, thanks, everybody, for joining today. We look forward to seeing you in our next call 3 months from now. Thanks much and take care.